Analyst: Steve Sanders - Stephens Inc Walter Nasdeo - Ardour Capital Brian Gamble - Simmons & Company Jeff Osborne - Thomas Weisel Partners
Operator: Welcome to the Plug Power second quarter earnings call. (Operator Instructions) It is now my pleasure to introduce your host, Cathy Yudzevich, Manager, Investor Relations for Plug Power.
Cathy Yudzevich: Andy Marsh, CEO and Gerry Anderson, CFO will be on this call today. The call will be archived on our website at www.plugpower.com. This conference call will contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including but not limited to expectations regarding revenues and product orders for 2008. These statements are based on current expectations that are subject to certain assumptions, risk and uncertainties; many of which are difficult to predict beyond our control and that may cause our actual results to differ materially from the expectations in our forward-looking statements. These risks include, without limitation, the timing and quantity of orders, shipments and installations of our products, our ability to develop commercially viable energy products, the cost and timing of developing our products, market expectance of our products and our ability to lower the cost of our products and demonstrate their reliability. Other risks and uncertainties are discussed under Items 1A Risk Factors in Plug Power’s Annual Report on Form 10-K for the fiscal year ended December 31, 2007 as filed with the SEC on March 17, 2008 and in the reports we file from time-to-time with the SEC. Plug Power does not intend to and undertakes no duty to update any forward-looking statements as a result of new information or future events. At this time I’d like to turn the call over to Andy Marsh.
Andy Marsh: It’s now been more than 100 days since my tenure began at Plug Power. I’ve used that time to gain a deeper understanding of our business by engaging customers, prospects, partners, suppliers and employees. In the ensuing weeks since the last call, I along with my senior staff and the Board of Directors have continued to chart a strategic course for the company that focuses heavily on sales and marketing, including customer focused and market driven product development. During today’s call, I will review our second quarter 2008 operational results, including detail on our current and near-term market activities, which will provide inside into our future expectations for commercialization, corporate milestones for the rest of 2008, and the overall strategic direction of the company. Gerry Anderson will then provide an overview of our financial results for the quarter, after which we will open up today’s call to questions. First I’d like to make it clear if its not already that GenDrive is the primary commercial focus for Plug Power in the near to mid term. We remain confident that our motive power business is prime for commercial success. It’s critical that we leverage our first mover advantage and continue to build a full product portfolio in order to fully engage in material handling market with the product and service solution that modestly enhances productivity for our customers. Based on our growing experience with customers, it is clear that GenDrive can deliver real economic value as a replacement for lead acid batteries. Gains in productivity and the potential for lower operational cost, additional useable commercial space and the elimination of toxic materials from the work environment are already creating customer pull at a level which I expect will result in notable orders in the near future. In terms of GenDrive unit orders, we expect to see a strong second half of 2008 continuing into 2009 and beyond. Further discussion of our motive power business will be tactical in nature, which customers to engage, which products to bring to the market and when. We will also support the development of our continuous power business GenSys with considerable efforts in resources as we believe that this will lay the ground work for significant growth in the future. Gensys is expected to provide entry into comparatively large markets; therefore we believe the work we do now will significantly impact the future of our business. The two promising product lines under development target different market and applications. One is a grid connected combined heat and power device and the other a grid independent primary power solution. The combined heat and power high temperature system is expected to penetrate the consumer in late commercial market with a drop in replacement for residential heating systems that offer higher efficiency, lower life cycle cost and a significant decrease in greenhouse gas emission compared with incumbent technologies. Feedback on the latest CHP prototype unveil that the Hanover Fair continues to be positive and we are proceeding with our efforts to assemble a user group where specific customer and partner feedback will be sort in order to improve our designs and functionality going forward. Our development of low temperature unit for remote primary power applications continues. Our efforts are focused on the rapidly growing wireless telecommunication industry in India and the need to provide primary power to cell towers where the electric grid is extremely unreliable or nonexistent. The test we’ve conducted in India to-date have validated the prior concept and economics and provided meaningful feedback on system design that is being incorporated into our commercial design efforts. We will continue to support our GenCore backup power products and believe it can deliver great value as a backup power solution for telecommunication and other mission-critical communication applications. We believe that our product development is substantially complete and that GenCore is the most reliable backup power product on the market. Accordingly we have reduced R&D expenditures. We are still putting resources into customer service and sales, but with the uncertainty around the FCC ruling on backup power for telecom site, we think it’s best to let the market dictate the level of resources we dedicate. When significant orders come in we will be prepared to meet that demand. Now I will turn to our operational results. As you’re probably aware, we’ve implemented dramatic cost control measures during the second quarter. We’ve reduced our workforce by approximately 20%. Difficult on a personal level, this was necessary as we reorganized the company and prioritized our business objectives. We’ve also instituted other measures to control spending such as rationalizing the user contract and professional service and bringing work in house where possible. Additionally we continue to examine our supply chain to implement cost down measures and scale productions. Cost reductions had been realized through alternate vendor selection, volume and negotiation and cost driven design modifications. Our efforts continue as we investigate Asian sourcing of components for a volume production. Although, our cash burn is higher in the second quarter than the first due to one-time restructuring charges, we are begin to see result as we bring Plug Power’s operating cost back inline with our resources. We’ve remained confident in our ability to successfully commercialize our product offering and become a sustainable company. For 2008, we expect cash used in operating activities to be in the range of $55 million to $60 million inclusive of our working capital needed to ramp inventory to meet future sales orders. On the GenDrive side of the business we had our best quarter thus far for new product shipments with 39 units delivered to the customers. Pleased to report that this includes initial deliveries to Wal-Mart which has begun a next phase of its trials with our GenDrive motor power solution. Given our focus on reorganization supply chain logistics last quarter, we do not book any new orders for GenDrive, but we continue to work and build our sales funnel and I expect that we will see significant orders within the next 13 weeks. We are currently building out our GenDrive sales organization which will be based on a regional approach with support through our channel partners. By year end we expect to book 150 to 200 new GenDrive unit orders. As we mentioned in our last call, we did experience a minor disruption in class three GenDrive production cost by a supplier issue. At this point production is back online as expected. We are making steady progress and qualifying a product from an alternate battery supplier and are working through the steps needed to ensure smooth transition of suppliers. Battery suppliers are working through the steps; they show a smooth transition. We are confident that we will be able to secure enough batteries from our existing suppliers to satisfy customer orders through the cut in the new supplier. We’ve also strengthen our relationship with Ballard by extending our supplier relationship for the Mark 9 SSL fuel cell stack through 2010. As two of the leading fuel cell company, Plug Power with its strong customer relationship and fuel cell integration expertise and Ballard with its outstanding design and cost reduction initiative, we will be better positioned to drive fuel cell adoption through greater alignment of our goals and resources. Turning to continuous power; we remain optimistic about our future of our high temperature GenSys program. As I mentioned earlier, we are establishing a user group and major international utilities that can test our commercial prototypes that combine heat power systems in order to drive product refinements that we believe will position us to meet the unique demands of several geographical markets. We remain convinced that we can offer consumers in our largest market the reduction of approximately 30% on their annual utility bills. To that end, we’ve received $500,000 in funding to the New York State Energy Research and Development Authority to focus on accelerated engineering and product refinement through the integration of that peak burner into the fuel cell system. The new design will enable rapid startup time, allowing the system to meet the customer’s immediate heating demand, while maximizing the fuel cell’s electrical utilization. By decoupling electrical and thermal functions the single box solution can distinguish and separate the home’s required heating needs from the electrical needs. This improved feature allows for lower integration costs in the residential and small commercial application. As you are aware, our efforts to complete our low costs high volume design for off-grid primary power solutions have been partially funded by the Department of Energy. We are incorporating the important lessons from our numerous fuel trials, including those in India and the current design expect to complete the first phase of the DOE programs this year. The second phase of this program will involve building, testing and validating prototypes of the low cost, high volume design. In the back-up power business, we’ve received 40 new GenCore orders during the quarter. We also shipped 53 units, installed 28. We continue to believe the lack of clarity around the potential FCC rules as gaining orders. We expect 50 new orders through the end of the year. As part of our restructuring, we shifted engineering resources in the stable commercial GenCore product to other corporate priority, but we continue to engage in sale, marketing and customer service activity in the back-up power market. I’ll now turn the call over to our CFO, Gerry Anderson, to present an overview of Plug Power’s second quarter 2008 financial results.
Gerry Anderson: Our second quarter financial performance was challenged by the restructuring activities and our focus on realigning the strategic direction of the company. With that said, we are confident that the company’s performance over the latter half of the year will benefit from the completion of these activities. For the quarter our total product shipments was 92 units comprised of 39 GenDrive and 53 GenCore systems. This represents a 42% increase over the prior year second quarter shipment which was our first operating period with GenDrive in our product portfolio. As Andy, as already noted new orders acquired during the quarter amounted to 40 units all of which were GenCore systems. More importantly, as we continue to build the sales organization and the order pipeline, we have stated our expectation to book between 200 and 250 new unit orders during the latter half of 2008 with an estimated invoice for value upon shipment ranging from $3.5 million to $5 million. Our backlog at the end of quarter two stood at 244 units, 141 GenCore and 103 GenDrive units. Turning to our statement of operations, total revenue for the second quarter was $4.8 million of which $1.1 million was derived from products and services and $3.7 million from research and development contracts. Products and service revenue represented a 67% increase over 2007 quarter two and is favorably impacted by our growing installed base of GenCore and GenDrive systems, which totaled 522 units as of June 30, 2008. Due to our continued development stage status, we defer recognition of product and service revenue and recognize revenue on a straight line basis over the service period of each sold system. At June 30, our deferred product revenue stood at $4.4 million, a $726,000 increase over our quarter one total. We expect to recognize substantially all of this revenue over a future period as the service contracts for the shipments are fulfilled. At $3.7 million quarterly R&D contract revenue represents an 11% increase over the prior year second quarter and the $6.6 million year-to-date total is a 20% improvement over the prior year. We presently have 26 contract engagements underway and expect our 2008 full-year revenues to be modestly better than 2007 results. Our total cost of revenue for the second quarter of 2008 was $8.6 million and was comprised of $2.8 million for product and service revenue and $5.8 million for R&D contract revenue. As we have noted in previous calls, our cost of revenue for products and services, includes the direct material costs for Fuel Cell Systems shipped during the period combined with the labor and materials associated with servicing all of the installed base; whereas our cost of revenue for R&D contracts is a fully burdened materials, labor and overhead amount. Our product cost of revenue, decreased from the prior year comparable quarter by $1.6 million; however, please recall that our 2007 quarter two was impacted by a one-time $2 million charge for certain service and warranty related costs associated with the installed base. On a 2008 quarter-over-quarter basis, product cost of sales increased $1.2 million from quarter one to quarter two, due to both mix of shipped products and a 50% increase in shipped units. Cost of revenue for R&D contracts was 156% of revenues for the quarter, which is primarily driven by the mix of cost sharing arrangements on our current book of 26 contracts. Research and development expenses costs incurred for internally funded R&D programs were $8.9 million for the second quarter of 2008. This represents a 1% increase over the prior year quarter, which included only a partial quarter for our acquired Canadian operations and it’s a 12% decrease from our first quarter result. The quarter-over-quarter declines resulted from continued lower material consumption on internal projects and slightly lower personnel cost associated with the reduction in force that took in the middle of June. Selling, general and administrative expenses were $8.4 million for the second quarter of 2008, representing a $3.4 million increase over the comparable prior year quarter. The increase is associated with $3.6 million in restructuring charges taken during the quarter. Our net loss for the quarter ended June 30, was $22.9 million or $0.26 per share. Approximately, $0.06 of the loss per share resulted from the restructuring charges taken during the quarter and an additional $1.7 million write-down in our available for sale securities portfolio. Weighted average shares outstanding were $88.1 million for the quarter. Net cash used in operating activities for the second quarter was $16.4 million inclusive of cash paid restructuring cost amounting to $1.1 million. Additionally, $538,000 was used for capital expenditures. On June 30, 2008, the company had $127.9 million in cash, cash equivalents and available for sale securities and $124.7 million in working capital. Year-to-date, the company has consumed $31.9 million in cash for operating purposes. Based on the impact over the cost savings initiatives implemented in the second quarter, net of expected working capital usage to ramp up inventory for future orders, we expect to finish year with an operational cash uses of $55 million to $60 million. One last point I would like to note, is that the restructuring implemented in quarter two has reduced our quarterly expense run rate by approximately $3 million. Included in available for sale securities and working capital at June 30, 2008 was $58.4 million of auction rate debt securities. As noted in our previous quarter, the disruption in the financial markets associated with auction rate securities has resulted in reduced liquidity for these types of securities and recent auctions for such securities have not been successful. Accordingly, the company expects to hold these securities until there is a successful auction, where the company sells them in the open market. Securities similar to the auction rate debt securities held by the company are currently trading at a discount on the open market. At the close of our first quarter, we concluded that the estimated fair value of these securities was lower than the cost of these securities and that this difference represented a decline in the fair value that is other than temporary. The company has recorded an additional other than temporary impairment charge of $1.7 million during the second quarter bringing the total impairment, the $4.5 million as of June 30, 2008. I will now turn the call back over to Andy for some concluding remarks before we open the call to questions.
Andy Marsh: There’s been a lot of changes at Plug Power over the first half of 2008. We focus our efforts on planning and restructuring to create a customer and market focused organization, which emphasizes sales and marketing. Based on our reorganization, the continued dedication of our employees and the market readiness of our commercial products, we expect to show strong results in the second half of 2008. At this point, I will restate our milestones for the second half of 2008. We expect 150 to 200 GenDrive orders, 50 GenCore orders and total net cash used in operating activities to be $55 million to $60 million. Now I’d like to open up the call to your questions.
Operator: (Operator Instructions) Your first question comes from Steve Sanders - Stephens Inc.
Steve Sanders - Stephens Inc: Just a couple of questions on the restructuring. It sounds like most of the change is around the G&A side. Can you just comment a little more specifically on what you’re doing in manufacturing, R&D and sales and marketing?
Andy Marsh : Let me talk a little bit about the organization. When I joined Plug, the organization was structured as very much a functional-based organization and to align the organization closer to the customer, we’ve really built an organization, which is sales and marketing base and we’ve aligned the motive power division under Chris Reid formerly of Cellex to have responsibility for sales, for product development for that organization as well as product management. The same today holds true for our continuous power business. The operation under John Gartner is responsible for manufacturing supply chain as a core activity for the business. Most of the backup power business is presently being managed directly by me. So essentially, we’ve moved from a functional organization to a customer-based organization. Most of the reduction of the 20% occurred for cut in our GenCore power unit as well as by consolidating G&A and manufacturing here in our Latham facility.
Steve Sanders - Stephens Inc: I think Jerry said the restructuring will give you about $3 million of quarter benefit. So, as we think about the burn going into 2009, is that a good way to think about it relative to ’08 or is it still a little early given that you may make some incremental investments here over the next couple of quarters as you move forward?
Jerry Anderson: If you load in the full run rate expected for those cost savings of about $3 million that would put us somewhere in the $11 million to $12 million range, which would put us in low to mid 40s, which is about where we would expect to be once we get to 2009.
Steve Sanders - Stephens Inc: On the GenDrive side, you obviously got several high profile customers testing the product. What’s your current read in terms of what you need to do on product changes, cost reductions etc., based on the feedback you have so far?
Andy Marsh: Steve, a critical item is the availability of the F-1 product and that availability is scheduled for full production in the start of October. The demand and interest on the manufacturing side of this market has been strong and that is a critical element for success. When I look at the other areas where we have been putting a good deal of efforts, we’ve put a good deal of our staff associated with providing support to the gas companies for hydrogen infrastructure for that industry. That’s a critical element having that readily available for our customers. We are looking at a cost reductions targeting approximately 7.5% reduction in material costs per quarter for the next year. So, there is activities which when we view the business by moving in that direction, one will see the products becoming more and more profitable. When I think about it, a good deals are costs reduction activity, if you take a look at our F-1 product 96% of the costs are associated with 29 components and about 80% of the costs were associated with 15 components. So, we’re really targeting those suppliers and working with them and understanding how we can help them as we drive scale production to bring the cost down.
Steve Sanders - Stephens Inc: Okay and just comparing GenDrive to kind of the early days of GenCore, I think fairly early on in the GenCore commercialization that the product was at least cash positive going out the door meaning you were covering your direct materials labor, and other direct costs; can you say that about GenDrive today?
Andy Marsh: No, I would say today with GenDrive the direct material costs in price are about equal and actually direct material costs maybe slightly higher than market price. Though it’s clear by when we hit productions in January timeframe that that equation will change and material costs will be lower than the price to customers and we see a continual downward trend. I guess, I wasn’t here at the start of GenCore and certainly market prices maybe different, but the equation with GenCore is really not substantially different today.
Steve Sanders - Stephens Inc: Okay and then its sounds like the funnel, the pipeline on GenDrive is obviously gaining some momentum of the unit orders you expect in the back half of the year; just a rough split on follow-on with existing customers versus new customers, how are you thinking about that?
Andy Marsh: A good question; it’s actually probably about 50/50 when I look at it Steve and a good deal of my effort and thought process has been, how do develop a larger funnel and that’s why we’re looking by September 30 to significantly increase the size of our GenDrive sales team. So, the sales funnel is quite strong at the moment, but I expect to make it significantly bigger over the next three to four months.
Operator: Your next question comes from Walter Nasdeo - Ardour Capital.
Walter Nasdeo - Ardour Capital: I have just a couple of questions and if you just give me a little bit of granularity on when you say you’re focusing more as a sales and marketing; what are some of the initiative that you’re putting in place to kind of execute on that strategy?
Andy Marsh: Yes, I think the first big item Walter and it may seem trivial, but we moved the company from a functionally organized company to one which is marketing customer focus. So, we’ve moved all the R&D folks, all the product management under one leader in each of our targeted markets to make sure that there was alignment along the organization. Second item is that we have given each of those organization’s clear sales, goals for the year and are actually bonusing not only the sales team, but the design team and product management team on the results of the sales organization. Third, we’re actually adding resources. In the motive power business, we will be adding four. Today, we actually have essentially two regional sales centers; one based in the Ohio Valley, one based in the Tennessee Valley and we will be actually adding three additional regional centers in the next 60 to 90 days and additionally we’re adding folks to be direct OEM sales folks. So in the motive power, there has been a real clear refocusing of our sales activity and alignment of the organization. In continuous power, we have been focusing a good deal of our efforts in India. We believe that approximately 50% of that market for off-grid power solutions is actually the Indian market; we’ve hired consultants and sales folks who have had success in India in the past and they are actually helping lead our efforts to be successful there.
Walter Nasdeo - Ardour Capital: Now, as far as for the GenDrive goes and in your future development there, are you guys working with any actual lift truck design manufacturing types of companies to understand what the next-generation of lift trucks are going to be? So, it’s not necessarily trying to design a retrofit for an existing 40 year old design that was originally meant for a lead-acid battery power system?
Andy Marsh: The answer is, yes and first, if you look at the composition of our sales team, their experience has actually been working for the major forklift companies in the U.S. If you take a look at the VP of sales for our motive power business, his previous position was VP of sales for Crown, which is one of the largest forklift companies in the U.S. Our Head of Product Management for that business actually worked at Raymond at similar product management role. So, we’ve actually been actively engaged with all or many of the major forklift companies in the U.S., not only focusing on today, but tomorrow. In that industry, it takes about five to seven years for a new product to come out the door. So, we’ve been actively engaged in qualifying and testing our replacement product today in their trucks that have the appropriate B.S. 1956 Certifications, but also it began discussions on what’s the future of forklift truck and how does that really help improve the performance of the truck and just a big huge battery replacement product.
Walter Nasdeo - Ardour Capital: Okay and then it’s a follow-up on that; as far as the integration between General Hydrogen and Cellex goes, I mean is that essentially done now and we’re down to the core group of guys that are going to be continuing on there and continue to develop the products?
Andy Marsh: I would say that I have one advantage Walter, I’ve never thought of us as three different companies and we’ve not only are closely engaged with the Vancouver team, that’s really one organization. Chris Reid, who runs that business actually has individuals here in Latham that report to him, individuals in Ohio and Tennessee, individuals in Vancouver and I was on the phone with the lead General Hydrogen salesperson last night in Tennessee and he was commenting to me about how much he’s enjoyed engaging with our operation folks and the planning and I listened to him and I thought to myself we are way past the point where you start thinking of us as three different companies.
Operator: Your next question comes from Brian Gamble - Simmons & Company.
Brian Gamble - Simmons & Company: I wanted to just kind of clarify something Andy you talked about working with the lift truck companies in creating a battery that essentially could be used in rather than retrofitted in. You mentioned a 5 to 7 year new product cycle; how far do you think are into that cycle and what are the preliminary products coming back in engineering? What do they look like? What are you having to do to your existing product to modify it for that next generation lift truck?
Andy Marsh: Probably Brain, it wouldn’t be fair from me to comment for the OEMs where they are in their new offering. What I can say is that I think there is going to be evolution that looks like this. I think the first evolution of this business is battery replacements. The second evolution is products that look like battery replacements but take advantage of some of the capabilities of fuel cells, which allow for simplification of the electronics and forklift trucks and I think the third product looks more like a product where all the capabilities of fuel cell products are distributed in the truck. I think that the first is clear and again what may not be clear Bruce is that for us to be successful we had to work very closely with the OEMs to date. The second is being defined as both of us learn more about design of forklift trucks and how fuel cells interact and I think the third where it’s a distributed fuel cell in a truck the work is really very, very preliminary at this time.
Brian Gamble - Simmons & Company: You were talking a lot about the restructuring and being focused more on the sale and marketing, how should review that in regard to actual deliveries as opposed to orders. Obviously you’re trying to increase on the front end to get orders in the door, but then are you also focused on the back end in getting those orders out in a timely fashion and how should we think about what that means for the recognition of backlog and what that is going forward.
Andy Marsh: Yes, Brain you are right. I mean my first objective is to fill the sales funnel. I think it’s fair to say some of the order will ship in 2008; a high majority will ship in 2009. We are looking at some exciting Greenfield activities, which may even orders we take in the fourth quarter will be for the third quarter of 2009. I think a fair estimate would be that the delivery time will be somewhere between 13 to 30 weeks after receipt of order. A good deal of that actually is not associated with production capability but putting the hydrogen infrastructure in place at our customer’s site.
Brian Gamble - Simmons & Company: I think Gerry might have mentioned it, a modest improvement in revenue this year over last year on a total full year basis; is 10% a modest increase to you?
Gerry Anderson: We expect to be low double-digits; I know again the analysts have a set in consensus and again due to some of the visibility and challenges on getting the shipments out the door and the issues around development stage accounting, it’s hard for us to give you a prediction of what that revenue number will look like, but I would say we expect to be low double-digit improvement over what we had last year.
Operator: Your next question comes from Jeff Osborne - Thomas Weisel Partners.
Jeff Osborne - Thomas Weisel Partners: Just a question on the OpEx run rate. You talked about a $3 million savings per quarter, is that off of the 17 in Q1; should we be thinking about $14 million going forward and I just wanted to kind of reconcile that with the comments about hiring more sales people for GenDrive?
Gerry Anderson: Yes, that’s probably a fairly good way to look at it Jeff and again keep in mind that we are still evaluating other ways to reduce our costs and our spend going forward. So again we expect even as we add salespeople to find other opportunities to reduce our spend. The one caveat I would still put in there again that we’ve mentioned is networking capital usage depending on what we need to do to ramp inventory, you may see some timing effects of having to carry higher inventory balances to be ready for some of these shipments.
Jeff Osborne - Thomas Weisel Partners: And then just a visibility of the 150 to 200 GenDrive units for the year, can you talk about what the rough mix is of class one, two and three?
Andy Marsh: Jeff, we only have available today class three products. The class one ended production in October and the class two products, our initial estimates are early 2010. With the class one and class three, I would expect that the fourth quarter and next year will be approximately 65% class one and approximately 35% in class three.
Jeff Osborne - Thomas Weisel Partners: All right and then would you happen to have the other stock comp for the quarter?
Gerry Anderson: The shares outstanding?
Jeff Osborne - Thomas Weisel Partners: No, total stock compensation.
Gerry Anderson: Stock compensation, I’m sorry. That was about $1.6 for the non-cash stock comp and if you needed the total for amortization and depreciation it was $1.7 million.
Jeff Osborne - Thomas Weisel Partners: Great and then the last question I had is, can you just update us on where the FCC is with their decision-making process and you mentioned the stalling there, but I was just wondering if you could provide an update?
Andy Marsh: Sure, when we talk often in Washington, our clarity is probably not much better than yours, Jeff, but as you know, the FCC’s action has been sent to the office of management and budget for review, so no steps can be taken until that comes out of the office of Management and Budget. My other assumption on this industry is that I expect that any ruling that there will be debates among the carriers and the FCC about how it is implemented. I have to say this, Jeff; I say this without a doubt that this GenCore product we have from the testing, from the deployments we have, is by far the most reliable fuel cell product under five kilowatts in the world. It’s a great product.
Operator: There are no further questions at this time.
Andy Marsh: I’d just like to thank everyone for their time today and their interest in Plug Power and we look forward to talking to you on the third quarter conference call. Thank you.